Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Sherritt International Third Quarter 2021 Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. I would like to remind everyone that this conference is being recorded today, Thursday, November 4, 2021, at 10 a.m. Eastern Standard Time. I will now turn the presentation over to Joe Racanelli, Director of Investor Relations. Please go ahead, sir.
Joe Racanelli: Good morning and thank you for joining us today. Before we begin, I’d like to make mention of a couple of items. As you know, we released our Q3 results and announced preliminary details of our Moa JV expansion strategy last night, all of our disclosure materials are available from our website as well as been filed on SEDAR. We will be using a presentation today and a copy is available on our website within the IR section of sherritt.com. And we will be making forward-looking statements today and those statements are available for review on page three of our presentation. With me today are Leon Binedell, Sherritt CEO; Steve Wood, our Chief Operating Officer; and Yasmin Gabriel, our Chief Financial Officer, who was appointed in August following 12 years with the company in a variety of financial and accounting roles. I’ll now turn the call over to Leon for his introductory remarks.
Leon Binedell: Thank you, Joe, and good morning, everyone, and thank you for joining us today. In our Q2 call, which was my first since becoming CEO of Sherritt on June 1st, I made -- mention of our intention to grow the business by a two-pronged strategy. This strategy centers on commercializing solutions developed by our technologies group and taking advantage of embedded brownfield growth opportunities. We have made considerable progress advancing the strategy during Q3 and in mid-October, we met with our Cuban partners and had positive discussions about how we can grow production to take advantage of the improving market fundamentals. I will expand on the results of these discussions and on the roadmap we have developed in my closing remarks. While there’s still more work to do to finalize our plans, I believe our strategy has the potential to deliver significant rates of return with low capital intensity. Another measure of our progress in Q3 was in the area of ESG. We released our sustainability report and upgraded a number of targets, including our goal of net zero emissions by 2050, and Steve will touch more on this. This progress should not be lost when we reveal our Q3 operating results, nor should the considerable success that we experienced in mitigating the effects of COVID-19 on our production throughout most of the pandemic. Unfortunately, the rapid spread of the Delta variant in both Alberta and Cuba, combined with unplanned maintenance contributed to a disappointing production result in Q3. Nevertheless, we were able to grow adjusted EBITDA by 14% to $17.6 million and received US$10 million of distributions from our Moa Joint Venture during the quarter, both of which were possible because of strong prevailing nickel and cobalt prices. Current market conditions are favorable and we are encouraged by the long-term outlook for both nickel and cobalt. I will now turn over the call to Steve for a more detailed discussion on our operating results for the quarter.
Steve Wood: Okay. Thank you, Leon, and good morning, everyone. I’d like to start my discussion as we normally do with a comment on our commitment to safety. We’ve developed -- devoted considerable effort over the recent years to fostering an environment where best practices for employee health and safety are in place and this has resulted in Sherritt continuing to rank in the lowest quartile for incident rates in its peer group. I’ll turn now to slide six. In the third quarter, we released our 2020 Sustainability Report that detailed the progress of our ESG commitments and that included achieving zero fatalities at our operations, and implementing additional health and safety measures to protect employees at our operations from COVID-19. The Sustainability Report includes a number of upgraded ESG targets in the near and longer terms, as you can see from slide six. Some of these targets include, achieving net zero greenhouse emissions by 2050, obtaining 15% of overall energy from renewable sources by 2030, reducing nitrogen-oxide emission intensity by 10% by 2024 and increasing the number of women in our workplace to 36% by 2030. Achieving net zero greenhouse emissions will require some capital investments and some considerable effort, and we’ve already identified opportunities to reduce carbon emissions by 60%. These efforts will include taking advantage of new technologies, making use of solar power and electric vehicles, and we will provide updates on our plans on a regular basis going forward. Now turning to slide seven, I’d like to discuss an example of an initiative that we’ve recently launched relating to reducing carbon emissions. In 2020, we identified a number of opportunities to use electric vehicles at both Moa and Fort Saskatchewan, and to-date we’ve integrated eight EV vans into our fleet at Moa and received our first EV at the refinery. We’re also looking to replace diesel powered land cruisers with similar EV light trucks. The electrification of our equipment is still at an early stage but is indicative of our commitment to reduce our carbon footprint. Turning now to our production results for the quarter, I’ll start with the Moa JV on slide number eight. On a 50% basis, the Moa JV produced 2,908 tonnes of finished nickel and 334 tonnes of finished cobalt in the third quarter of 2021. These totals represent decreases of about -- up 22% and 18%, respectively, from the comparable periods in 2020. The lower production versus last year is attributable to the full plant shutdown, the full impact of COVID-19 in the quarter, as well as some unscheduled maintenance due to found work. More specifically, in July, a shipment of mixed sulphides was cancelled due to the outbreak of COVID-19 on the ship. In response, the refinery in Fort Saskatchewan slowed down his production rates during the month and as well the plant shutdown that had been rescheduled from May to August due to high COVID case numbers coincided with the fourth wave of COVID in Alberta and that resulted in reduced contractor availabilities. This development extended the shutdown by two days. But I’d also like to point out that, because additional measures were taken at the refinery, we managed to keep our workplace transmissions to a minimum. At Moa, the increase in COVID-19 cases locally within the Holguin province of Cuba was also impacted production of mixed sulphides and during the quarter vaccination of personnel in Moa was rolled out and by the end of the quarter the majority of employees had been vaccinated. This year’s full facility shutdown at the refinery lasted 13 days and that’s compared to the typical five-day annual partial shutdown. This full facility shutdowns I’ll remind you occur once every six years. With repairs now completed in the third quarter, production has resumed to normal rates and with the full facility shutdown now behind us, production rates at the Fort and in Moa back to normal rates. High COVID-19 vaccination rates, continued COVID protocols and significant inventory levels throughout the operation, we expect good performance for the foreseeable future. I will expand on the impact the third quarters developments had on our guidance in the later slide. Now I’ll turn to our unit costs at the Moa JV on slide nine. MPR or Mining Processing and Refining costs increased by 31% in the quarter relative to the same period last year. The increase was attributable to a number of factors, including higher input costs, higher maintenance costs and lower production volumes. As you can see from slide nine, input costs rose dramatically in the quarter compared to last year. In particular, sulphur prices were up 126%, fuel oil prices rose by 69% and natural gas prices climbed 59%. These increases were partially offset by lower labor costs due to the impact of Cuba’s unification of its currencies. Now turning to the net direct cash costs, NDCC was $4.53 per pound of nickel sold and that’s up 12% from $4.04 in the third quarter of last year. The increase was driven by higher input costs and lower sales volumes. These impacts were partially offset by the 52% rise in the cobalt by-product credits. Looking ahead, although we continue to anticipate inflationary pressure on input through the rest of the year, our NDCC forecast for 2021 remains unchanged, given the offsetting rise in cobalt prices over the past several months. Now turning to the Power division on slide 10, we produce 110 gigawatts of electricity in the third quarter and that’s down from 28% -- that’s down 28% from last year, when we produce 152 gigawatts in the third quarter. The decrease relative to last year was driven by the scheduling of maintenance activities that had been previously deferred on account of limited liquidity that was available and reduced availability of spare parts. Unit operating costs in the quarter were $23.14 and that’s up 58% from the $14.63 for the same period last year. The increase was due to lower production and higher maintenance costs, but offset partially by lower labor and third-party costs due to the effects of Cuba’s currency unification. I’d like to wrap up my discussion on the Power business by pointing out that we continue to be in discussions with our Cuban partners to extend the power generation agreement with Energas. I note that this agreement is currently slated to expire in March of 2023 and we’re confident that it will be renewed. Now, before I turn the call over to Yasmin, I’d like to make some remarks on our updated guidance for 2021 on slide 11. Given the developments in the quarter and anticipated production through to the end of the year, we’ve adjusted our finished nickel production guidance for 2021 and we now anticipate producing between 31,000 tonnes and 32,000 tonnes of finished nickel and in effect, we’ve reduced the lower end of our initial target for the year by 1,000 tonnes or approximately 3%. As I mentioned previously, we have a high degree of confidence in these numbers, given inventories at the Fort and throughout the flow sheet. Our targets for cobalt production and NDCC remain unchanged, given our performance on a year-to-date basis, and we remain on track to reach -- that guidance for the year. Our share of capital spend at the Moa JV has been reduced to $35 million from $44 million. The reduction reflects the operational challenges that we experienced in the third quarter, including the freight and order delays caused by COVID-19. That concludes my remarks on operational performance and I will now pass it over to Yasmin.
Yasmin Gabriel: Thanks, Steve, and good morning, everyone. It’s a pleasure to be here today. As Joe mentioned, I became CFO for Sherritt at the beginning of August after spending almost 12 years with the company in a variety of roles within finance, including VP of Finance. In the coming months, I look forward to meeting and having discussions with many of you that our growth initiatives and continued efforts to strengthen our balance sheet. I’d like to begin my remarks today with a discussion of our adjusted EBITDA performance in Q3. Although, this is a non-GAAP measure, adjusted EBITDA provides a strong indicator of our performance and in Q3 our adjusted EBITDA grew by 14% to $17.6 million compared to the same period in the prior year. This growth is indicative of stronger realized nickel and cobalt prices and as you can see on the waterfall chart on slide 13, the positive effects of higher nickel and cobalt prices were partly offset by increased input commodity prices and the impact of lower sales volumes, which were driven primarily by the effects of COVID-19 and the full facility shutdown, Steve mentioned earlier. As most of you are aware, we’ve made significant effort to reduce our administrative expenses over the past several years and as Sherritt’s new CFO, I want to assure you that our commitment to lowering administrative costs remain a priority and we’ll continue to act on every opportunity to reduce costs. And while these cost containment measures continue, they will be balanced against the need to support growth initiatives over the coming years. With that in mind, I want to put developments impacting administrative expenses in Q3 as presented on slide 14 into perspective. In Q3 of this year, we incurred costs totaling $3.4 million in contractual benefit expenses related to the departure of two senior executives. Excluding the impact of these expenses and $2.7 million of balance sheet initiative related costs that were reclassified to discontinue operations in the prior year, our administrative expenses were flat over -- year-over-year. And looking ahead, I’d like to remind everyone that the 10% corporate office workforce reductions that we made earlier in the year will result in $1.3 million in cost savings annually. Moving on to slide 15, the sensitivity analysis in our MD&A released yesterday provides an approximate impact on net earnings for the quarter based on a change in selected key drivers. The analysis is based on the Q3 production results, which were negatively impacted by COVID-19, the full facility shutdown and unplanned maintenance. As such, this skews projections on how price fluctuations would impact our financial results on a go-forward basis. As an alternative, the table presented on this slide is based on the midpoint of production guidance for 2021, providing a better indication of how changes in commodity prices and foreign exchange rates could impact the results on a go-forward basis. And as you can see from this table, we remain exposed to changes in commodity prices, with a $1 increase to nickel reference price, resulting in an increase of approximately $35 million in net earnings per year. Turning now to slide 18, where I’d like to highlight our improved liquidity positions. At the end of Q3, our cash and short-term investments totaled $163.4 million and that was up from $153.8 million at the end of Q2. Our cash position was positively impacted by a number of developments in the quarter, chief among them was the receipt of $12.7 million of distributions from the Moa Joint Venture and strong fertilizer pre-buys of almost $14 million. Our total available liquidity at the end of the quarter was $218 million, with available credit reflecting $8 million in cash previously borrowed and $8 million in letters of credit drawn against our $70 million credit facility. And to further strengthen our available liquidity and fund our growth strategy that Leon will outline next, we aggressively pursued and successfully completed an early renewal and expansion of our credit facility at the end of October. The amendment increases the amount of available credit by $30 million from $70 million to $100 million. It allows us to utilize the facility to fund the capital expenditures and extend the maturity of two and a half years to April 2024. The increase in our credit facility is indicative of our strength and financial position, and favorable nickel and cobalt outlook. That concludes my review of financial highlights for Q3 and I’ll now turn it over to Leon.
Leon Binedell: Thank you, Yasmin. With a Q3 operational challenges caused by COVID-19 and some unplanned maintenance now behind us, I want to focus the balance of the discussion today on our growth opportunities, particularly our plans to grow production and take advantage of our embedded brownfield opportunities. I’d like to start with a brief overview of the backdrop of our expansion strategy. There are a number of conditions in our favor supporting the decision to move ahead. Most notably, demand for nickel is slated to grow by 3.5% on a compound annual basis over the next 20 years. The strong demand, which is being driven by the accelerated adoption of electric vehicles is slated to create a critical supply deficit around 2025. While nickel prices are strong, they’ll still be low incentive levels for new mined development projects, creating a distinct advantage for those with brownfield or low capital intensity opportunities. These macro conditions form the basis for much of the discussions I had during my first visit to Cuba in mid-October to meet our partners in person. The meetings were particularly productive and provided an opportunity for us to reiterate our commitment to the island and our joint ventures. The President confirmed Cuba’s alignment for our growth objectives and support to Sherritt to pursue growth on an accelerated timeframe. Just as important, the discussions also included our Cuban partners reconfirming their commitment to repay the debt. On slide 19, looking at some of the macro and market conditions a little closer. Nickel prices since the start of our third quarter have been strong and reached a high of US$9.31 per pound on October 21st. Cobalt prices have also been on the ascent climbing to about US$28 per pound. Higher prices for both commodities were driven by strong demand and reports of consumer stockpiling. Conditions supporting these price levels are expected to remain in place through the balance of the year. The impact of growing demand and consumer stockpiling is apparent when we look at Nickel inventory levels in warehouses. As you can see from slide 20, combined inventory levels on the LME and Shanghai Futures Exchange have dropped more than 40% over the past year to below 150,000 tonnes, which is the lowest level since December 2019. Currently, the market is slated to -- for a supply deficit of approximately 100,000 tonnes by the end of the year, according to some industry analysts. While a modest supply deficit is anticipated for 2021, the impact of growing nickel demand for EV Battery segment will continue to grow and will become apparent in less than five years as you can see from the chart on slide 21. Many industry observers such as Wood Mackenzie are anticipating a prolonged and significant supply deficit starting in 2025 as no new nickel mines are slated to come on stream anytime soon, and the incentive price was significantly both have not yet been achieved. This encouraging backdrop helps with some context to our brownfield expansion strategy and why we are so excited about both our near and longer term prospects. Accelerated expansion at the Moa JV will entail a multi-phased approach that upon completion will grow our nickel and cobalt production by up to 20% to about 40,000 tonnes on 100% basis. Key to this expansion will be the completion of a new slurry preparation plan that will reduce or haulage distances and improve or sorting. Other components of our strategy include completion of expansion circuits with Moa, as well as installation and upgrading of equipment at the refinery in Fort Saskatchewan. These efforts center around the completion of a prior expansion that was put on hold, combined with debottlenecking type work at the refinery, making this a lower risk expansion and lower cost. In tandem with growing production, we also plan to extend the life of Moa to beyond 2040. Our plans consists of converting some of the more than 158 million tonnes of measured and indicated resources into reserves by upgrading our 43-101 Technical Report by making use of an economic instead of a cut-off grade in reserve estimation and mine planning. This new focus on growth marks the change for Sherritt and is one that we are truly excited about. We believe the project economics are compelling and will require low capital intensity. There are further opportunities beyond this more immediate expansion, which we will share at a future date once additional work to fund those have been completed. In summary, I wanted to thank you for your time today. But as you have heard, we believe that the worst of COVID-19 impact on operations is behind us, given the increase in local vaccination rates and declining number of cases, as well as the result of improved inventory levels at the refinery. Just as important, nickel market conditions are favorable, and the outlook for demand and prices remain strong. This encouraging outlook is why we are working closely with our Cuban partners to finalize plans to grow finished nickel and cobalt production by up to 20% and to grow the life of mine at Moa by taking advantage of our brownfield embedded opportunities. In the coming months, we will provide more details on the timelines and the exact capital spending required. And with that, I will hand it back to the Operator for some questions. Operator?
Operator: Thank you.  Your first question comes from the line of Don DeMarco from National Bank. Your line is now open.
Don DeMarco: Thank you, and good morning, Leon and team. Okay. So regarding this expansion and extension at Moa, I understand that most of the details will be coming toward the end of Q1. So stop me if you want to defer till then, but just a couple questions to get a little bit more color. Regarding the Cuban partners, they’re supportive. Would they contributed CapEx to the project or would there be a different arrangement, whereby they kind of you recoup whatever their investment might be by retaining their share of profits over a period of time, something like that?
Leon Binedell: The Moa Joint Venture is configured in such a way that the joint venture in of itself is able to fund and support funding for its growth objectives. And that’s why we working closely with our Cuban partners to align on the exact quantum of growth capital and the funding mechanisms associated with that.
Don DeMarco: Okay. Okay. So we’re looking at, what we’re hearing is a low CapEx intensity project, which is great. Does it have any implications on the operating costs? Now the current NDCC that we see at Moa, would we expect those to increase or remain the same or is that something we just wait for until the end of Q1?
Leon Binedell: We’ll provide further details on that, but I think directionally it’s helpful to say that as production increases, there’s a fixed cost dilution impact and also increase in by-product credits from additional cobalt volumes as well.
Don DeMarco: Okay. Thanks, Leon. And just turning attention to Q3, what were the unplanned maintenance activities in the quarter?
Leon Binedell: Let’s Steve answer that one.
Steve Wood: Thanks, Leon. And there was -- there were some vessels that we found had some cracking in them and so they were inspected and needed repairs before failure. So the positive coming out of what we found during the shutdown is we prevented in operation set of failures on several pieces of equipment. One example is the, one of the autoclaves in the cobalt circuit, a couple of obsolete valves had some cracks in them and they needed to be repaired. And as you can imagine being a high pressure vessel, they require special skills to be repaired and take some time. So that’s an example of the kind of work that we found during that shutdown.
Don DeMarco: Okay. Okay. That’s helpful. And, Steve, when is the next plan shutdown?
Steve Wood: There is one mid next year and it’s a five day…
Don DeMarco: Okay.
Steve Wood: … shutdown, it’s not the 11-day or 13-day shutdown that we have every six years.
Don DeMarco: Okay. Okay, guys. Well, that -- thank you very much. That’s all for me. We’ll just look forward to more details on this expansion and extension strategy. Congratulations. Thank you.
Leon Binedell: Thanks, Don.
Operator: Your next question comes from the line of Orest Wowkodaw from Scotiabank. Your line is now open.
Orest Wowkodaw: Yes. Good morning. I also have questions about this potential expansion that you’re thinking on the nickel side. Can you give us an idea of the quantum of capital required for this project, like is this, I realize you’re working on the study results? But is this -- are we talking hundreds of millions of dollars or what -- I am just trying to understand how big of an investment this could be relative to your free cash flow and balance sheet strength right now?
Leon Binedell: Sure. Thanks for the question, Orest. And as you pointed out, we will provide much more clarity on that in the coming months. But what we wanted to just highlight is that, the size of the expansion is relatively modest and is 15% to 20%. And the capital intensity of that is typically what you would see for low cost brownfield expansion opportunities, and probably, on the lower end of what we’ve seen in the past.
Orest Wowkodaw: Okay. No. It’s been a long time since I’ve really seen nickel brownfield or greenfield opportunities outside of nickel pig iron. So could you maybe remind us kind of where some benchmarks may be in the industry on those metrics?
Leon Binedell: So the historical benchmark was the medium somewhere in the $20,000 to $25,000 per tonne and we believe we will be sort of below that historical benchmark.
Orest Wowkodaw: Okay. That’s helpful. Thank you.
Operator: Your next question comes from the line of Gordon Lawson from Paradigm Capital. Your line is now open.
Gordon Lawson: Hello, everyone. Thanks for taking my question. More on the expansion plans. So you touched on this, but how much of the 2011 Phase 2 project infrastructures remaining that may provide a head start for some aspects of construction?
Leon Binedell: I’m not sure.
Steve Wood: 11 or…
Leon Binedell: Sorry, could you just rephrase Phase 2 of which expansion?
Gordon Lawson: While there was a proposed expansion about a decade ago, called the Phase 2 expansion, you are targeting 42,000 tonnes of nickel per year? Is there any of that infrastructure remaining to provide a head start in the expansion today?
Leon Binedell: That’s exactly what we’re seeking to complete is the work that was done back then and halted. We’re seeking to complete the majority of what was done back then at Moa and then couple that work -- some debottlenecking work at the refinery to match Moa capacity with a refinery.
Gordon Lawson: Okay. Got you. Thank you. And for the shipping delays, you mentioned that the issues with the mixed sulphides transportation have since abated, but can you comment on the overall vessel availability? We’ve seen a lot of impact with other mining companies, particularly as a relates to sales. So what’s Sherritt’s point of view on that?
Leon Binedell: So the issue that we had in the third quarter that impacted production was really a COVID outbreak on the vessel that created a challenge for us missing a shipment. That’s now since behind us, but we don’t foresee any vessel challenges in mixed sulphide shipping at all.
Gordon Lawson: And nothing to do with sales at all either?
Leon Binedell: Yeah. We have sufficient stockpile mixed sulphides at the refinery so that our logistics is back to normal and probably better than normal operation at this point in time.
Gordon Lawson: Okay. Thank you. That’s it for me.
Operator: Your next question comes from the line of Tony Robson from Global Mining Research. Your line is now open.
Tony Robson: Thank you. Thank you for the presentation. Thank you for taking my question. Sorry, another annoying one on the Moa Bay debottleneck, which is clearly good news. Where is the bottleneck, if you look at before and operations and Moa Bay was the bottleneck currently, I would have guessed Moa Bay was overtime lower grades being processed means less nickel? And the second question to that would be, given the very good prices we’re seeing for mixed nickel, cobalt, sulphides, oxides, hydroxides, whatever, is there a need in fact to further debottleneck forward rather than simply selling the mixed sulphides? Thank you.
Leon Binedell: So, first of all, the main bottleneck at Moa currently is really in order feeding into the plant and that’s why the slurry preparation plant is sort of a first off the bat in terms of pursuit. That is probably the furtherest advanced and news around that will be coming out fairly shortly. That will give sufficient ore supplied to the plant that the completion of the additional circuits of Moa will be sufficiently fed by that additional capacity in the slurry prep plant and additional mining capacity. The debottlenecking at the Fort site is relatively modest capital to debottleneck that operation and tie the two together nicely in terms of volumes, giving us the incremental margin that we’re seeking. So for the additional capital, we believe it still makes sense to pursue the debottlenecking at the Fort as well to tie those two operations, but it also gives us marketing flexibility as to where we placed our product in case there’s any premium differentials between electric vehicle market, speciality alloys and/or stainless steel.
Tony Robson: Okay. Great. Thank you.
Operator: There are no further questions at this time. I will now turn the call back to Sherritt management. Please go ahead.
Leon Binedell: Thank you, Operator. I want to thank everyone for joining us on the call today. We’re very pleased to share some good news around our expansion strategy today and looking forward to sharing much more details around both. Thank you for your continued interest in Sherritt and thank you for the questions today as well. Talk to you soon.
Joe Racanelli: And if you have any additional questions, please feel free to reach out to us. We’ll be available in the next couple of days.
Operator: This concludes today’s conference call. Thank you everyone for participating. You may now disconnect.